Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter 2007 Deluxe Corporation Earnings Conference Call. [Operator Instructions] I would now like to turn the presentation over to your host for today’s call Mr. Terry Peterson, Vice President of Investor Relations and Chief Accounting Officer.
Terry Peterson: Welcome to Deluxe Corporations 2007 Fourth Quarter Earnings Call. I’m Terry Peterson, Deluxe’s Vice President of Investor Relations and Chief Accounting Officer. Joining me on the call today are Lee Schram, Deluxe’s Chief Executive Officer and Rick Greene, Deluxe’s Chief Financial Officer. Lee, Rick and I will take questions from analysts after the prepared comments, at that time the operator will instruct you how to ask questions. In accordance with Regulation FG this call is open to all interested parties; a replay of the call will be available via telephone and Deluxe’s website. I will provide instructions for accessing the replay at the conclusion of our teleconference. Before I begin let me make this brief cautionary statement. Comments made today regarding financial estimates and projections and any other statements addressing management’s intentions and expectations regarding the company’s future performance are forward looking statements as defined in the Private Securities Litigation Reform Act of 1995. As such these comments are subject to risks and uncertainties which could cause actual results to differ materially from those projected. Additional information about various factors that could cause actual results to differ from those projected are contained in the news release that we issued this morning and on the company’s Form 10-K for the year ended December 31, 2006. In addition, the financial and statistical information that will be reviewed during this call is addressed in greater detail in today’s press release which is posted in the Investor Relations section of our website www.Deluxe.com. This was furnished to the SEC on Form 8-K filed this morning. In particular any non-GAAP financial measures are reconciled to the comparable GAAP financial measures in the press release. Now I’ll turn the call over to Lee Schram, Deluxe’s CEO.
Lee Schram: Good morning everyone. Despite more challenging economic conditions we had another solid quarter and are pleased with our financial performance and continued progress with our transformation as we exit 2007. For 2007 we reported slight consolidated revenue growth excluding the previously announced sale of the Industrial Packaging Product Line. We stabilized the Check Revenue Base and Financial Services and Direct Checks actually reporting revenue growth for the quarter in Financial Services. We made progress on our new revenue expansion initiatives further piloting and progressing potential revenue opportunities. We continue to execute on our $150 million cost reduction program and finished the year ahead of plan and also further framed our incremental $75 million cost reduction initiative. For the year we grew earnings per share 41% over 2006. Operating cash flow continued to be very strong and we repurchased another $8 million of common stock in the quarter. We are now well into our transformational journey, more than executing against commitments with tremendous progress in revenue, earnings and cash flow but we recognize we still have a lot of work in the year ahead. Given our accomplishments clearly we are disappointed with the recent declines in our stock price but we remain steadfastly focused on executing our turn around plan which we strongly believe will drive shareholder value for the long term. In a few minutes I will discuss more details around our recent progress and provide a prospective on what we hope to accomplish in 2008 but first Rick will cover our financial performance.
Rick Greene: Earlier today we reported diluted earnings per share for the fourth quarter of $0.77 which was in the range of our previously communicated outlook for the quarter. Revenues for the quarter came in at $414 million down slightly from our earlier expectations. While revenue performance in our Small Business Services segment was negatively impacted by general economic softness check volumes in our Financial Services segment were stronger than expected. Operating performance benefited from continued execution on our cost reduction initiatives and we accelerated into the quarter over $2 million of investments to drive further cost reduction activities. Finally, earnings per share benefited $0.04 from a lower effective tax rate. Operating cash flow finished the year strong and was in line with our expectations. Strong earnings and continued progress with our working capital initiatives led to operating cash flow of $67 million for the quarter. In the fourth quarter of 2006 we reported diluted earnings per share of $0.92, those results included a gain of $0.14 per share from terminating an underperforming outsourced payroll services contract and benefited another $0.04 per share from a lower effective tax rate. In 2007 results included benefits from our cost reduction initiatives partially offset by the impact of lower revenue and by higher performance based compensation and advertising expenses as well as a higher share count. Company wide, revenue in the fourth quarter totaled $414 million down 3.1% from 2006. As we have previously noted the prior year benefited by $13.6 million from the Industrial Packaging product line which was divested in January, 2007. Gross margin for the quarter was 63.6% of revenue, basically flat with the prior year. Improvements in manufacturing productivity as a result of lean initiatives and lower material costs related to product mix were offset by higher delivery costs from postal rate increases. Selling, general and administrative expenses was flat in the quarter on a year over year basis. As I previously mentioned benefits from many of our cost reduction initiatives particularly in the areas of cost center productivity and information technology infrastructure and lower employee severance charges in 2007 were offset by higher performance based employee compensation and advertising expenses as well as the $11 million gain realized in 2006 from terminating the outsourced payroll services contract. As a result operating income in the quarter was $70.4 million compared to $78.9 million last year. Let’s now shift our focus to some highlights in each of our three business segments. In Small Business Services revenue of $251.4 million was down 5.7% or $15.1 million versus 2006. As noted, 2006 revenue included $13.6 million from the Industrial Packaging Product Line which we sold in January 2007. Adjusted for this divestiture revenue in the quarter was down slightly as economic softness was partially offset by a favorable Canadian exchange rate and growth from the Johnson Group acquisition in October 2006. Operating income in this segment was $37.1 million compared to $49.2 million in 2006. The decrease was driven primarily by the 2006 payroll services contract gain of $11 million. In addition, continued cost reductions including lower manufacturing, information technology and selling costs and lower employee severance charges in 2007 were more than offset by increases in performance based employee compensation and advertising expenses and slightly lower revenue. As a percentage of revenue, operating margin for the quarter was 14.8% a 1.4 point sequential quarterly improvement as extending our trend of delivering double digit operating margins in this segment. In Financial Services revenue was $112.9 million an increase of 2.5% over fourth quarter 2006. The quarter reflected continued strong check volumes and slightly favorable revenue per order from an earlier price increase. Financial Services reported operating of $18.7 million for the quarter or 16.6% of revenue up from $16.2 million in 2006. Deliver rate increases and higher performance based employee compensation expense were more than offset by higher revenues, benefits from cost reduction initiatives and lower employee severance charges this year. Finally, Direct Checks revenue totaled $49.7 million down only 1.6% on a year over year basis. Revenue this quarter benefited from continued success in selling additional accessories, premium features and services which partially offset the impact of lower order volumes. Additionally as you may recall Direct Checks experienced weather related production delays in the fourth quarter of 2006 resulting in $3 million of lower revenue last year. Operating income was $14.6 million for the quarter or 29.4% of revenue up $1.1 million from last year. The increase was driven by benefits from cost reduction initiatives and lower advertising expense partly offset by lower order volume. Turning to the balance sheet and cash flow statement total debt at the end of the quarter was $844.1 million compared to $1 billion at the end of 2006. On October 1st we fully repaid our $325 million obligation on 3.5% notes utilizing proceeds from the liquidating short term investments and available capacity on our committed lines of credit. Through the remainder of the quarter we continued to pay down debt with our full year reduction totaling $175.7 million. Our total debt reduction for the year fell below the previously communicated range due to additional Q4 share repurchases totaling $8.3 million to partially mitigate dilution from equity based compensation as well as higher year end cash balances and slightly higher capital expenditures. Cash provided by operating activities for the year finished strong as $244.7 million. The increase from 2006 was driven by continued progress with working capital initiatives and improved operating performance, partly offset by higher payments for medical and severance benefits and a higher income tax. Looking ahead to 2008, despite expectations of a more challenging economic environment and the pressures of lower check usage on our core check business we are still optimistic that we can deliver nearly flat consolidated revenue ranging from $1.56 to $1.61 billion on a full year basis. In addition, we expect to achieve double digit growth in earnings per share which translates to an EPS range from $3.00 to $3.20. There are several key factors that contribute to our 2008 full year outlook. Given the economic uncertainty that we expect will impact parts of our Small Business Services segment we are being prudent in planning only very low single digit growth rates for the year with most of the growth expected in the second half. In Financial Services, given contract renewal timing and recent successes in extending existing national contracts we expect no significant changes in our customer base. In addition, we expect the continuation of 4% to 5% market declines in check writing and a competitive pricing environment. With the related revenue pressure being partially offset by a modest second half ramp of revenues from several new loyalty, retention, monitoring and protection products. From an economic standpoint checks tend to be fairly resilient to downturns in the economy so we expect the economic softness to have only a minor impact on our personal checks businesses. We expect revenue declines in Direct Checks to be more in the high single digits driven by declines in check usage. The year over year lapping of several new feature and accessory initiatives, although more new initiatives are planned in 2008 and the $3 million revenue benefit in 2007 attributable to the weather issues previously mentioned. Other factors contributing to our 2008 earnings per share outlook include continued progress with the previously announced $225 million cost and expense reduction programs and an effective tax rate of approximately 35%. We expect operating cash flows to remain very strong ranging between $230 and $250 million for the year. Two thousand eight will continue to benefit from earnings growth and additional working capital improvements but they will be largely offset by the higher performance based incentive compensation payout in the first quarter of 2008 given our strong financial performance from 2007. We expect contract acquisition payments to be approximately $15 million. Capital expenditures in 2008 are expected to be approximately $30 million with continued investment in initiatives which drive manufacturing productivity, business simplification and non-check revenue growth. Depreciation and amortization expense is expected to be approximately $60 million including $23 million of acquisition related amortization. For the first quarter of 2008 we expect our revenue to range from $375 to $385 million and diluted earnings per share to range from $0.50 to $0.54 per share. Reflecting the following factors in comparison to 2007; again given the economy we are being prudent with our revenue projections for Small Business Services particularly in the early part of the year. As a result, excluding $3 million in 2007 revenue attributable to the divested Industrial Packaging Product Line we are projecting low single digit declines in SBS revenue in the quarter. In Financial Services we expect to perform better on the revenue line than the expected 4% to 5% consumer driven decline in checks written due to a full quarter benefit of delivery price increases implemented in the later part of the first quarter of 2007. Revenue in Direct Checks is expected to be down on a year over year basis in the low double digit range primarily because of the $3 million benefit we realized in the first quarter 2007 from the weather related issues late in 2006 that shifted revenue between years. Factors on the cost side driving our first quarter outlook include; higher delivery costs in Financial Services and Direct Checks as higher postal rates in 2008 are not fully offset by our new flat check delivery packaging solution. Higher investment in e-commerce, verticalization and merchandising for SBS and in loyalty, retention, monitoring our protection solutions in Financial Services to drive expected revenue growth in the second half of the year. Continued execution of the $225 million cost and expenses reduction initiatives net of investment and an effective tax rate of approximately 35% to 36%. Finally, from a financing activity perspective we plan to pay down the remaining $67 million from our credit facility during 2008. As we maintain our strong operating cash flow we will continue to focus on effectively deploying excess cash to drive long term value. Our priorities uses of free cash flow include investing both organically and with tuck in acquisitions to augment growth. We will also consider other opportunities to create shareholder value which include modest share repurchases and evaluating our dividend level. As a reminder our new notes limit our ability to make restricted payments for items such as share repurchases and higher dividends. As we continue to generate a sufficient level of net income our flexibility to make restricted payments will continue to increase over time. I will join Lee and Terry in taking your questions in a few minutes but first I’ll turn the call back to Lee.
Lee Schram: I will continue my comments with an update on our progress, first at the enterprise level and then for each of our three segments. I will also include throughout a perspective on what we hope to accomplish in 2008 and wrap up with an update on our cost reduction initiatives. At the Enterprise level we are pleased with the momentum we have achieved on our process improvements and resultant cost reduction initiatives, while work here continues we have a solid infrastructure in place coupled with a strong economic resistant annuity based core check business. These are great foundational pillars to build upon. We will not take our eye off costs but our transformation efforts are now shifting to focus more heavily on revenue expansion initiatives. During the fourth quarter we further clarified our revenue growth drivers and frame them into three major groups; strengthening our core check and office products platforms, adding adjacencies and enablers including transaction, loyalty and retention and monitoring and protection solutions. Finally, expanding our portfolio by adding higher growth services for small businesses, this may also include in the future, penetrating additional new higher growth markets like medical, telecommunication and government with our core office products and services. Revenue growth will come from investing organically, expanding and creating partnerships and tuck in acquisitions to augment growth. We made progress on key enablers including improving our e-commerce and analytics capabilities and focus more crisply on key vertical segments and enhanced merchandising both for small businesses and financial institutions. I will incorporate examples of these potential new revenue opportunities and key enablers throughout my segment updates. Now shifting to our segments, the Small Business Services we had another solid quarter of new customer acquisitions driven by our Deluxe Business Advantage Program. Continue to expand custom color products through the Johnson Group acquisition and announce an exciting partnership with Website Pros. As initially mentioned on our third quarter call we did see some continuing signs of softness in our retail and contract verticals that we believe are driven by economic conditions that also had some impact on our holiday greeting card program in the fourth quarter. We made progress in expanding our e-commerce capability but still have much more work to do here with interfacing state of the art customer facing tools with back end systems. The results of our second wave of an extensive vertical segmentation pilot with retailers, contractors and other professional services so far have been very encouraging. Initial pilot results show that our share of wallet, average order size and breadth of products purchased increased. To give some more color here, orders already placed have exceeded our forecast by 36%, we are seeing a 35% greater response rate compared with our control group and a significant shift of almost three times to products that help our customers grow rather than simply run or maintain their businesses. In 2008 our focus again will be on profitable revenue growth, we remain focused on acquiring new customers and increasing our share of wallet where we believe we can sell more personalized forms and related products as well as higher growth solutions including custom, full color, digital, web to print and promotional products. In addition, we see opportunities to help small businesses grow by expanding our portfolio into marketing services such as logo design, website creation, campaign management, mailing and other related services. We are investing heavily in the first half of the year to build out stronger e-commerce and vertical segmentation capabilities that we believe will help drive higher revenue growth in the second half of the year. We also believe given current market conditions that we need to more prudently plan at a lower revenue growth rate. In Financial Services we continued again this quarter to proactively extend several check contracts with existing national customers. Order volumes in the quarter were flat year over year despite ongoing check writing decline. Our attention rates remain in excess of 90% and new acquisition rates remain strong especially in the Credit Union space. We continue to simplify our processes and take complexity out of the business while reducing our costs and expense structure. In addition to our strong core check revenue we made progress in the fourth quarter in advancing new non-check revenue expansion opportunities and had our strongest revenue quarter in 2007. To give more color here; from our suite of customer loyalty and retention solutions known as impressions we launched 11 new customers with revenue that will ramp and extend throughout 2008. For Deluxe calling we added several new scripts and customers and we successfully completed an initial pilot with a very large financial institution. We will be extending the call pilot this year and starting a test of our on-boarding welcome home tool kit solution with them this quarter. We also saw a meaningful revenue increase from our store value gift card program and finally in the monitoring and protection space we strengthened our relationship with our key partner that we expect will help drive more revenue in this space in 2008. Momentum is clearly building in these new non-check revenue initiatives both inside the company as we build better go to market product launch capability and externally with our customers. These new initiatives are helping Deluxe be viewed by financial institutions as more than just a check provider but as a trusted partner. They are singles and doubles right now especially with the expected financial institution focus on controlling costs this year but have the potential to contribute more significantly over the next several years. In 2008 we expect to maintain our high retention rates and acquire new check customers, we also expect some revenue contribution from the new loyalty and retention store value gift cards and monitoring and protection offerings. Our expectation is that these new initiatives could add 2% to 4% incremental revenue in the Financial Services segment this year and they are also accretive to operating income. Finally, we will continue the simplification work with the goal of taking complexity out of the business and reducing our cost structure. In Direct Checks we reported a 2% revenue decline in the fourth quarter, our investments in free standing and insert impressions focused on selling additional products such as holiday greeting cards, store value gift cards and premium price features and accessories are expected to continue enhancing results. We also had a slightly improved operating income profile in the fourth quarter with an operating income to revenue ratio of close to 30%. In 2008 we expect higher single digit declines in revenue driven by consumer driven declines, the year over year lapping of several new feature and accessory initiatives and the first quarter of 2007 $3 million weather related revenue carry over from 2006, this alone drives almost a 1.5% decline for the year. We are also starting to focus on other products and services that we can sell directly to consumers in addition to checks and related accessories. We expect the continued increased free standing insert advertising and enhanced internet search engine spend will be offset by lower manufacturing costs and lower SG&A, keeping our profitability profile within one to two points of a 30% operating margin level. In addition to these actions in each of our segments here is an update on our costs and expense reduction initiatives both the originally announced $150 million program and the more recently announced $75 million addition to the program. Overall we had another solid quarter, delivering to our expected levels on the $150 million reduction initiative for an additional 60% this year on top of the 10% achieved in 2006. The balance of the $150 million in costs reductions, approximately 30% or $45 million is expected in 2008. For the incremental $75 million in cost reductions announced on the third quarter 2007 call we expect approximately one third of the reductions to be realized in 2008 and two thirds or the balance to be realized in 2009. You may recall that we indicated around 50% to 60% of these savings were expected to directly benefit the bottom line. In the fourth quarter as we indicated on the third quarter call a little less than 50% to 60% fell to the bottom line primarily due to investments in non-check revenue initiatives and acceleration of cost reduction investments. For 2008 reductions again will not necessarily be linear through the quarters and approximately 50% to 60% will also fall to the bottom line. However, the percentage will be lower in the first half especially in the first quarter as we are more aggressively investing in new non-check revenue solutions and key enablers both of which are expected to drive additional revenue in the second half of 2008. Here are some highlights of the key cost reduction activities for the fourth quarter and continued areas of opportunity as we move forward, in addition to the ongoing savings that are occurring each quarter from previously implemented actions. In our go to market sales and marketing our focus continues to be on realigning sales and marketing back end operations and refining our channel management structure through process centralization, simplifying business processes, platform and tool consolidation and leveraging e-commerce and vertical segmentation capabilities. For fulfillment we had a strong quarter on lean productivity improvements and indirect spend reductions. In late October we completed our initial implementation of the new flat check delivery package. For 2008 we expect to continue our lean product standardization and direct and indirect spend reduction initiatives plus advance our work on realigning to a common manufacturing platform. We also plan to initiate more strategic supplier sourcing arrangements and enhance value stream mapping improvements and efficiencies. Finally, for shared services infrastructure we continue to make good progress in information technology driven by data center cost reductions and other system utilization, networking and voice communication efficiencies. In 2008 we expect to continue to reduce costs in each of these areas mentioned as well as better rationalize and standardize applications and technology and more strategically align IT capability and delivery with our business segment needs. For our other share services infrastructure functions including finance, human resources, real estate and legal we continue to standardize more of our internal processes and improve efficiency. Opportunities still exist to centralize, streamline, standardize and improve efficiencies in these functions. As you can see we made solid progress in the fourth quarter and in 2007 but we still have a lot of work and opportunities ahead of us in 2008. We expect economic market challenges especially in the first half of the year. Continued strong progress in our cost reduction initiatives, stability in our core check and office products revenues and more meaningful revenue contributions from our new revenue offers and key enablers. We are confident that as we continue to execute we can have another year of strong progress and financial returns. Before I open the call up for questions I would like to take this opportunity to thank all the Deluxe employees for their hard work and dedication which helped make 2007 a great success. Thank you all Deluxers. Now Rick, Terry and I will take your questions.
Operator: [Operator Instructions] Your first question is from the line of Jamie Clement with Sidoti & Company.
Jamie Clement – Sidoti & Company: With respect to the 2008 outlook if it’s possible maybe for you to simplify things and just to make sure that I heard things correctly. With respect to the cost profile of the company and expecting a better second half than first half, is that more related to higher investment costs in the first half or is it more of an expectation of the ongoing cost cutting plan yielding results in the second half or is it a combination of the two?
Lee Schram: We are very committed to getting this company to grow and based on that we’ve been investing in some initiatives that we’ve been talking about for several quarters now but we have made a conscious decision that we are going to put more money into it right now and we are serious about it and we’ve got the whole company rallied behind it and we believe that its going to absolutely help. A lot of these pilots that I mentioned I gave a lot more color this quarter are really starting to look opportunistic for us and it seems like we are doing the right things and what we decided we are going to do is basically put more money right now into that especially in the first quarter it will be some obviously in the second quarter as well. I’m talking about not just a normal amount that we’d be doing, we are putting more into it. At the same time you are right, I think you’ve read it right, we also are getting the ongoing benefits from the cost reduction initiatives that we took out and we’ll get more initiatives and benefits going, we have them, that will give us a bigger play later in the year so if you think about it we are doing the right things, we’ve been executing and we’ve got to get obviously an economy here that plays with us. A lot of what we are out there and we are piloting with our customers both on financial institution side as well as the small business side it’s just real encouraging the response to what we are doing and based on that, that’s why we decided to make a stronger play in the especially first quarter but the first half of the year.
Jamie Clement – Sidoti & Company: A related question to that, obviously the economy has been mentioned both in the press release and in your remarks, with respect to guidance I would assume that the market’s reaction with respect to your stock today probably people look at your guidance for the first quarter and then people look at your guidance for the year and they say uh oh are you all baking in too much of an economic improvement in the second half of the year? A follow up to that question, it sounds to me like you have definitive programs in place, you referred to some of your pilots and that sort of thing that you would expect even without a major up tick in the economy that you would have a better second half than first half, am I reading that correctly?
Lee Schram: You read it really well again, let’s go back for a couple of quarters before we even get on just the past quarter. We have been putting investments, we’ve mentioned the hiring of a world class leader in e-commerce and we mentioned other product management and marketing people we’ve been bringing into the company and we’ve been putting money in an plowing into it but what we’re really seeing now is as we are getting the learning’s out of some of these pilot work that we’re going through we are starting to see more and more interest and more enthusiasm and so what we’re doing is we are turning the crank up more to try to get bigger investments so we can get these things coming in as our profile plays out. What’s going to happen economically obviously that anybody’s guess at this point in time? We did see signs of it, we mentioned a little bit at the tail end of the third quarter we obviously saw it in the fourth quarter and obviously as we are getting out of the gates we don’t know yet, we don’t know where its going to go. You’re right, the programs that we’re driving, the things we are doing they should be effective and the way to think about it is there’s a huge market out there with that share of wallet if you go back to the 15% that we only have today. There is a huge potential in good and bad markets for us to really be able to get out there and get business. Some of it could be economic related depending on the short term bi-cycles that people have but we just believe that the drivers that we’ve got in terms of the enablers and the focus on some of these new growth areas for us are really going to help. We’ve also gotten a nice play from some of the services focus that I mentioned website pros, we just think that’s another partnership that’s going to help us and there’s other things out there that we are looking at and driving. Our Small Business customers are starting to look at us in a different way as well. You kind of package all that together and that’s why we believe the play is and unfortunately the guidance that we put out in the first quarter isn’t where we would like it to be, but let me tell you something. We are not running the company for the quarter and we believe what we are doing is absolutely the right thing and its going to pay dividends for our investors and the people that really want to be part of Deluxe, our employees, our shareholders, and so on and so forth. That’s the way to think about it right now.
Operator: Your next question comes from the line of Charles Strauzer with CJS Securities.
Charles Strauzer – CJS Securities: Picking up where Jamie left off if we can drill down a little bit more…
Lee Schram: The way I would look at it, if we are going to stay in the three segments, which we are, we want to make sure that we are improving each of the segments we are in. I would look at it we expect the profile, as it gets better through the whole year with the full year guidance that we have that it will be some of that benefit that will accrue to the Small Business Services segment will be some of that benefit that will accrue to Financial Services segment. I would tell you that on net probably a little bit more will go to benefit the Small Business Services segment.
Charles Strauzer – CJS Securities: You think the majority of the cost cutting or a larger chunk of the cost cutting savings will benefit Small Business Services?
Lee Schram: Because its our largest segment its almost 60% of the company’s revenue, yes, you are going to get more benefit there but I don’t want to underscore the continued improvement that the Financial Services group and the fulfillment people are absolutely riveted on improving the cost profile efficiencies as I mentioned in the script in that space as well. I would just say some of it is just because it’s a larger segment and it takes more of our costs, some of it is because they are going to get a little more busy but I don’t want to underscore the fact that there will be improvements in Financial Services as well.
Charles Strauzer – CJS Securities: I think if you look at your revenue guidance and your EPS guidance for ’08 I think you are implying that unicy, operating margin improving in both those segments, is the assumption I think you guys have to draw.
Lee Schram: I think you’ve got it right.
Charles Strauzer – CJS Securities: One quick question, what’s the effective interest rate right now on the remaining debt and also when you look at the tax rate in this quarter that just passed you look at the little bit of a benefit there can you explain there what happened there?
Lee Schram: In terms of the effective interest rate and our interest expense, certainly as we have made progress in continued debt reduction through 2007 and the fact that we will continue to pay down the remaining amount on our credit facility as we go into 2008 we will see a modest improvement in year over year interest expense and certainly the overall effective interest rate where we paid off the $325 million last year which was investment grade notes at the time at 3.5%. The overall mix changes given that the new notes we issued in 2007 were at a higher interest rate, that effective rate goes up a little bit but given lower debt levels we do expect to see a slight modest improvement in our overall interest expense. In terms of the tax rate and the impact in fourth quarter maybe I’ll let Terry give a little more specifics around some of the opportunities and improvement we had there.
Rick Greene: Terry actually has the tax director that reports right to him.
Terry Peterson: Before I do that I just wanted to add one more comment on the interest rate and what the effective rate might look like going forward. If you were to take three maturities that we have out there represent most of our outstanding debt I did a weighted average calculation you’d come pretty close to an effective rate for the year. Also on the tax rate as we go into our year end process we file our tax returns on their due dates which is typically September and October time frame for most of our returns, we do a process where we go through and look to do a reconciliation basically with what we had estimated from the previous year. As we did that normal review this year we had just a couple items that popped up again with some benefit from that process. More in the category of one time items rather than lingering or ongoing items that will have continuing impact.
Operator: You next question comes from the line of John Kraft with D.A. Davidson.
John Kraft – D.A. Davidson: The comments you made on guidance and your outlook were helpful but I just wanted to clarify one thing that Rick mentioned. You said in Q1 specifically you expected higher stock comp and I was just hoping you could quantify that?
Rick Greene: I think the comment that we were referring to as it relates to our operating cash flow that given the strong performance in 2007 we will have a higher incentive compensation payout from a cost basis in the first quarter which is typically when we pay those out and so that would impact the year over year operating cash flow. As I mentioned we will continue to benefit from higher earnings growth as well as continued progress on our working capital initiatives but that will be partially offset by that payment that will happen in the first quarter.
Lee Schram: The way to look at it again if you go underneath what Rick is saying is that we expect that the operating cash flow of the company the $230 to $250 range and being at the $245 is going to be a very strong number and you strip out the fact that we’ve got to pay people when we perform and when you really dig underneath that and you think what are we saying, we are saying we’ve got a lot of other things that we’re driving the more confident we can deliver on and therefore driving a healthy and a comfortable range around operating cash flow.
Terry Peterson: The reason it popped up a kind a noteworthy factor to point out is because of the 2006 performance really the company didn’t hit its targets in the payout which happened in the first quarter of 2007 was actually quite low so this is really getting back up to a higher payout level.
John Kraft – D.A. Davidson: You have talked about making tuck in acquisitions, given the environment there may be some bargains out there, how is that pipeline looking?
Lee Schram: I can tell you right now that we have a group of us inside the company that are meeting regularly, by regularly I mean quite often and we are looking at a pipeline of different capabilities and in terms of helping us with enablers and helping us with more service oriented things that we can really drive that help drive the additional revenue growth inside the company. Really what we are trying to do right now is, can we get more than one thing, when you look at types of things that we could be doing can you get what I call a two for three for one. Think about the Johnson Group, what’s been so exciting about that acquisition for us is that it got us into the full color space but we’ve been able to get business cards into our direct checks business, we’ve been able bring some digital and web to print capabilities to the company. It wasn’t just like it got us in the full color and it got us in several other areas and that’s what I’d say the focus the team is looking at on a pretty regular basis right now.
John Kraft – D.A. Davidson: Is there a target as far as some number of deals that you expect to do in ’08?
Lee Schram: No, it’s not a number it’s the quality of them and it’s the type of, between the organic investments between the tuck in type acquisitions, things that are going to help us as we continue to develop the company and reach for the top line revenue growth that we all want.
John Kraft – D.A. Davidson: In your Financial Institution business with the price increases can you talk about specifically where in the market you’ve been able to push through prices and where you may be able to continue to push through price increases?
Lee Schram: As we mentioned, I forgot which quarter it was last year, I think it was probably the first quarter, late in the first quarter we kind of went through a complete assessment of our financial institutions. We have different contract that work different ways and where we felt given what was going to happen in terms of the indications we were getting at the time from the postal service on them raising rates we basically have clauses in our contracts that allow us to do that. What I would tell you right now this is something we are always doing. We’re always evaluating opportunities to adjust price in each of our segments. I don’t want you to think it’s just a play that in the Financial Services base. Too, we actually get through the work and sit down with our customers and actually work through what all those potential areas whether they be on delivery, on accessories, on the core checks, so on and so forth. That’s probably best where I can leave it right now.
John Kraft – D.A. Davidson: In the FI division you’ve talked about how there’s really minimal impact in consumer check usage given what’s happening in the banks. What about the push back from the banks regarding signing up for some of your welcome home marketing program and some of these newer things, are you getting any new push back there because of what’s happening there?
Lee Schram: I had a sale literally about two weeks ago and I asked them that same question. Given what’s going on in the financial industry right now, is there receptivity that we saw in the fourth quarter, how are we doing, it continues to be very strong. Are we cautious about, we try to lay out a framing on how much we think we can build upon revenue base that we’ve got in that 2% to 4% range from these new initiatives but I also mentioned that more of an expected focus on the cost end is probably not as big as we thought it could be probably as much as two or three months ago. I would tell you right now I still feel very good about the kind of things that we are bringing in. Financial institutions, especially when you get into the mid and small size ones are going to need to differentiate themselves from their competitors, their peers. Some of these things that we are working with them on are showing again that Deluxe can partner and be looked at in a much bigger and broader way than just being a check player.
Operator: Your next question comes from the line of Piyush Sharma with Longbow Research.
Piyush Sharma – Longbow Research: On SG&A when you mentioned the performance based employee compensation is it the same as the performance share plan?
Lee Schram: No, the way to think about what we mean by that is we have, as I think every company does, a variable compensation plan and what Rick is alluding to in his comments is really we pay people incentive on top of base salary, we do it for management, we do it for the whole company, we have different programs depending if you are in sales or in support area. That’s really what we are referring to and again back to Terry’s earlier comment in ’06 we didn’t have much of it because we didn’t perform as a company. That’s really what the big general comment around the performance incentive comp means.
Piyush Sharma – Longbow Research: On Small Business Services the softness that you’ve recently noticed was it more pronounced in checks or in the accessories and other printed product business? Do you plan to offer or have you already started offering check accessories in this segment?
Lee Schram: What I would say is that it was really in the retailer, again as I mentioned in the contractor space. It’s tough to say, it’s probably more a general comment, here’s why. There are some places within those segments that we see saw less checks but it can also be timing of when they are in reorder patterns so our data is not good enough to tell us where things are at. Let me give you a classic example of what we were hearing and we get feedback from many different places here. We get feedback from our outbound calling, we get feedback from our pilot work that we are doing, the broader economic indicators that are out there with Small Business. On of the telling comments that we saw, and it was very very late in the year is a lot of our outbound call center people when calling great customers of ours from the past, we haven’t seen you order holiday greeting cards yet this year, what we got was, I’m not spending the money because I’m basically going to e-mail blast all my customers rather than spend money on cards. We also saw more of a shift in [inaudible] meaning more oil oriented cards that people historically buy more, a little more glitz cards, they were moving towards ink based cards and therefore those are the kinds of learning’s and telling’s that we look at when we look at what’s going on more from an economic standpoint. That’s the way I would best explain it.
Piyush Sharma – Longbow Research: On your e-commerce and initiatives could you provide more color on that, what specifically are you doing there?
Lee Schram: As I’ve mentioned in previous calls we do a lot on e-commerce in our Direct checks business, checks come through the mail, the phone and electronic commerce and we also have e-commerce capability in Small Business Services as well. We’re not yet at the competitive space that we should be able to get at in this space. We have to open channels, we have great inbound/outbound, field, and we do have e-commerce capability today, but we have an opportunity, Piyush, to have a much bigger play in that space than we do today. What we are doing is we have got a great leader first of all, and a great team of people under that leader, and we have state-of-the-art, front-facing customer tools that were putting in place. What we are working really hard at is getting all those glued together with our back end systems. Remember, our back end systems have all the work that we have to go through from the NEBS acquisition and all the different brands and so on and so forth. So that’s the work right now and we are confident we are on the right track and we feel that this is a nice opportunity for the company, especially through some of the pilot work I have mentioned. Once we get all this foundation laid, that is going to help us a lot.
Piyush Sharma – Longbow Research: Would you have readily available information, or maybe just give me some anecdotal information. What happened to your call center headcount in the second half of ‘07 versus the first half of ’07? Was it flat, down?
Lee Schram: Call center headcount, well it’s probably up because we have seasonal people that we bring into the company, Piyush. The end of the year, even though the holiday cards I mentioned it was impacted; we still have a nice holiday card program. I would say overall, looking at just exact headcount, one point in time isn’t really the way to look at it. It is the productivity of the people. I would expect at the end of the year, there was actually more people on board, rather than less.
Richard Greene: But if you compare our end of the year this year to the end of the year last year, we are down about 800 headcount in total; not just call center, but total across the company.
Piyush Sharma – Longbow Research: On the additional $75 million in cost savings, is it still one-third COGS and two-thirds SG&A in your $150 million program?
Lee Schram: I think that’s still a good guidepost to use.
Piyush Sharma – Longbow Research: Finally, could you provide some color on the rollout of [inaudible] in the last quarter? I’m specifically interested if you saw any sequential benefit on gross margins between fourth quarter and third quarter?
 Lee Schram: Yes. If you think about the third quarter we were really in the midst of rolling it out into all of our financial institution fulfillment sites. In the fourth quarter, we would have had some benefit after we got the last sites in as we mentioned on our third quarter call when we actually did it from the last site in Kansas City. So there would have been a little more benefit.
Operator: Your next question comes from line of Mike Hamilton - RBC Dain.
Mike Hamilton - RBC Dain: Educate me on your D&A. When you look at your expectation of the $23 million in amortization ‘08, is the $44 million that I am shown for ‘07 a comparable number?
Richard Greene: The amortization, the $23 million that you see for amortization that we talked about was just the amortization related only to the intangibles that we have acquired with companies that we have bought. There is other internally generated intangible assets too like software projects as an example that we capitalize. So you are kind of doing apples and oranges there.
Mike Hamilton - RBC Dain: What would we be looking at overall on a reported basis off of the $44 million or $45 million that you showed in ‘07?
Richard Greene: Well the intangibles was about $29 million in ’07. The intangible portion of that amortization related to the acquisition.
Mike Hamilton - RBC Dain: That’s helpful, thank you. I just want to make sure off of guidance on my attempt to mesh progression of year. Basically you are driving for something in the range of 21% operating margin or better by the time we get to fourth quarter ‘08 with the seasonality that quarter typically contains. Is that accurate?
Richard Greene: Mike, we haven’t given that specific information. We are not going to comment on that at this point.
Mike Hamilton - RBC Dain: Is there anything material in other below the line items that would change just as a natural flow that’s got to take place to get to a $3 number?
Richard Greene: Meaning in interest income or interest expense?
Mike Hamilton - RBC Dain: Right.
Richard Greene: No, no.
Operator: Your final question comes from the line of Adam Spellman - PPM America.
Adam Spellman - PPM America : I think you said your Check business across all three segments is around 65%, or 64% of the total company?
 Lee Schram: That’s what we reported, Adam, for 2006. We haven’t yet published that number for 2007.
Adam Spellman - PPM America : But just using a rough number, that implies there is a pretty good chunk -- and again this is no surprise -- a pretty good chunk of checks sitting within SBS. Is that right?
 Lee Schram: Yes.
Adam Spellman - PPM America : Obviously it is very clear it is a very different trend in the Check business between financial services and direct checks. When we think about performance of the check business sitting within SBS what does that performance look more like? Does it look more like a financial services check business or is it more like direct checks?
 Lee Schram: Adam, what we’ve historically said and I think still stays pretty consistent is that the 4% to 5% unit decline, or checks written decline -- which by the way, the Fed study did come out in late December and the last three years supported I think a 4.1% decline. Very much in line with what we’ve been publicly saying. But we have also publicly said that the decline is probably more 2% to 3% a year in the small business space, principally because a lot of small businesses, and they continue to tell us, use checks as an audit trail for their bookkeeping purposes. So it actually is a little bit less that they are at the down 2% to 3% compared with the 4% to 5% that we see in the financial services space.
Adam Spellman - PPM America : Just to pound everybody over the head one more time, in the Financial Services segment, the reason you are able to keep flattish or up revenue a little against a 4% to 5% decline in volume is price increases and new products and upsell?
 Lee Schram: Think of all of 2007 and where we just finished up; you’re right. We had price increases and also, I would go back to my comments around being able to have a very high retention rate and being able to bring new acquisition business in, meaning we are getting new customers as well.
Adam Spellman - PPM America : A question on SBS. When we look at the trend, say in the fourth quarter, I understand we have to pull out that business that was sold last year; that kind of gets you to flattish looking revenue. But then you’ve got some foreign currency that inflated the growth rate, right, and you had a small amount of revenue for an acquisition in the current year? When you pull out the FX and that acquisition if its material, what’s the organic growth rate for the fourth quarter in SBS?
Richard Greene: As we mentioned in my comments, Adam, the SBS part of the business was impacted because some of the economic softness that we saw in the fourth quarter and so pulling out the $13.6 million from the divestiture of the industrial packaging product line leaves you down just slightly. So the benefits from foreign exchange and the little bit of revenue from Johnson Group acquisition were slightly more than offset by the economic softness that we saw in the quarter.
Lee Schram: We bought the Johnson group in October of 2006 so we’ve lapped most of that period already now.
Adam Spellman - PPM America : On this first quarter guidance, I think I heard this but just help me out here. Just to use the midpoint of your guidance of 380 versus 404 last year, did you say there is still some revenue that we should be pulling out of the 404?
Lee Schram: As we mentioned in the direct checks business, there is $3 million of weather-related revenue that shifted from fourth quarter 2006 into the first quarter of 2007. When you look at the direct checks business there is also $3 million in industrial packaging revenue that was in. Before we sold the business in late January 2007 there was about $3 million. There are two $3 million dollar numbers, Adam; they are just different things.
Adam Spellman - PPM America : Your operating cash flow definition again, I forget what you guys said it was, the number, but what is that again? Is it cash flow from operations?
Richard Greene: Cash flow from operations right off the statement of cash flows in our SEC filings.
Adam Spellman - PPM America : A final bigger picture question. When you step back you generated a lot of free cash flow last year, your guidance is again a pretty strong free cash flow generation; you’ve done an excellent job of paying down debt; you have low leverage. But yet your stock has kind of been going the wrong way. Again, I understand you made some comments, but how do you think about uses of free cash flow? Do you feel like there is more pressure to do acquisitions or buyback stock, given what’s happened with your stock price?
Richard Greene: We take into consideration all the opportunities there for deploying cash effectively to drive value for our investors. Our priorities for those uses of excess cash are focused primarily on investing organically and we’ve talked a lot today about some of those areas where we’re investing organically to drive growth as well as potential tuck-in acquisitions. Lee has made several comments on a robust pipeline that we are continuing to look at and work. Beyond that there are other options for us in using that excess cash. Share repurchases are an opportunity, as well as our board and with management we continually look at our dividend levels for the company. We are, in the near term, restricted by the restricted payments basket but we’re really primarily focused on investing organically and potential tuck-in acquisitions.
Adam Spellman - PPM America : How big is the restricted payments basket? You just mentioned it restricts you.
Richard Greene: It grows over time. That’s on file with the SEC in the latest documentation with the notes we issued in May of last year.
Terry Peterson: We’ve gone just a little bit past our timer now. We are going to have to cut the calls off at this point. Gina, can you come back on the line and provide the closing?
Operator: In the interests of time, that includes the Q&A session. Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a great day.